Operator: Good afternoon, everyone, and welcome to NextNav's Fourth Quarter 2022 Earnings Conference Call. Participating on today's call are Gary Parsons, NextNav's Chairman; Ganesh Pattabiraman, NextNav's Co-Founder and CEO; and Chris Gates, NextNav's Chief Financial Officer. Before we begin, please note that during today's presentation, the company may make forward-looking statements either in our prepared remarks or in the associated question-and-answer session. These statements, which involve risks and uncertainties relate to analyses and other information that are based on forecasts of future results and estimates of amounts not yet determinable and may also relate to NextNav's future prospects, developments, and business strategies. In particular, such forward-looking statements include statements about NextNav's position to drive growth in its 3D geolocation businesses and expansion of its next-generation GPS platform, the business plans, objectives, expectations, and intentions of NextNav, NextNav's partnerships, and the potential success thereof in NextNav's estimated and future business strategies, competitive position, industry environment and potential growth opportunities. These statements are based on current expectations or belief that there are certain or subject to certain risks and uncertainties that may cause actual results to differ materially. Such forward-looking statements are subject to known and unknown risks, uncertainties, assumptions, and other important factors, many of which are outside NextNav's control that could cause actual results to differ material from the results discussed in the forward-looking statements. These risks, uncertainties, assumptions, and other important factors include, but are not limited to, the ability of NextNav to continue to gain traction in key markets, and with notable platforms and partners, both within the U.S. and internationally; the ability of NextNav to grow and manage growth profitably, maintain relationships with partners, customers, and suppliers, including with respect to NextNav's Pinnacle 911 solution and its TerraPoiNT network, and the ability to retain its management and key employees; the ability to maintain balance sheet flexibility and generate and effectively deploy capital in line with its business strategies; the possibility that NextNav may be adversely affected by other economic business and/or competitive factors, including the impact of the ongoing COVID-19 coronavirus pandemic; other risks and uncertainties indicated from time-to-time in documents filed with Securities and Exchange Commission by NextNav. New risks and uncertainties arise from time-to-time, and it is impossible for us to predict these events or how they may affect us. You are cautioned not to place undue reliance upon forward-looking statements, which speak only as of the date made. And NextNav undertakes no commitment to update or revise the forward-looking statements, whether as a result of new information, future events, or otherwise. Risk factors that may impact our performance are identified in our most recent SEC filings. Following our prepared remarks, the company will host an operator-led question-and-answer session. In addition, at the conclusion of today's call, a replay of our discussion will be posted on the company's Investor Relations website. With that, I'll turn the call over to NextNav's Chairman, Gary Parsons. Please go ahead, sir.
Gary Parsons: Thank you very much, operator. Good afternoon, everyone, and welcome to NextNav's fourth quarter and full year 2022 earnings call. As the operator indicated, joining me today are NextNav’s CEO, Ganesh Pattabiraman; and NextNav's CFO, Chris Gates. 2022 was a solid year for NextNav building on the momentum from our Go-Public Transaction in 2021. We established a strong operational foundation and we expanded our capabilities from both a product and a technology standpoint. At each step, we're guided by three strategic priorities. And as a reminder, we've said this before, but as a reminder, these priorities are: first, being the industry leader in resilient positioning, navigation and timing or PNT. Next, leveraging our recent Nestwave acquisition to significant [Technical Difficulty] abilities of our Spectrum Assets; and finally, expanding our global reach. Now a major milestone in each of these priorities was achieved in the fourth quarter of 2022 with our acquisition of Nestwave, a privately held global leader in low-power geolocation. As Ganesh will detail later, following the early integration of engineering teams late last year, we are preparing to launch initial implementations of the combined technologies later this spring. With Nestwave, which by the way is now named NextNav France, we incorporate unique intellectual property that allows us to rapidly meet the growing needs of PNT resilience or government's critical infrastructure, public safety and other sectors. The acquisition and final tech implementation and integration will also enable us to dramatically improve spectral efficiency for our underlying Spectrum Assets, utilizing LTE and 5G wave forms. And as we've indicated in our intention in prior calls, NextNav has now filed modifications for our existing experimental licenses to include testing of those various LTE and 5G configurations. Now the combined Nestwave NextNav technology not only enhances the technical capabilities, and data-carrying capacity of our spectrum, but it also expected to significantly reduce future capital and network operating expenditures associated with the deployment of our TerraPoiNT technology. From a spectrum standpoint, certainly recall that we are the sole licensee of 8 megahertz of contiguous low-band spectrum. We own a total of 2.4 billion megahertz pops, which compares approximately 93% of the U.S. population. Our unique Spectrum Assets fit in existing 3GPP band for LTE and 5G spectrum, which facilitates integration into mobile handsets and provides significant operational advantages. On the related spectrum front, just last week, the Biden Administration announced its seeking public comment on what should be included in the long-awaited national broadband spectrum strategy. That effort is being led by the National Telecommunications and Information Administration, or NTIA, a telecom agency within the Commerce Department. The last national broadband plan is over a decade old and this coming effort is seeking to identify up to 1,500 megahertz of spectrum to examine for potential repurposing, expressly for the purpose of expanded broadband availability. The request seeks feedback on three strategic pillars. First, what type of spectrum the government should try to free up for commercial broadband use. Secondly, how to best do long-term spectrum planning. And thirdly, how technology can improve spectrum management and inform new models of spectrum sharing. NextNav's technology has already proven its ability to provide critical, public safety and governmental services without interfering with other nearby services. We believe that enhancing these capabilities to improve spectral efficiency and deliver valuable broadband carriage is consistent with the government's overarching broadband objectives. Now turning to our Pinnacle vertical location technology. We continue to advance our work in the E911 and Public Safety sector. We signed several notable contracts in 2022, led by our agreement with Verizon. Verizon is the first Tier One carrier to launch a device with our Pinnacle technology for E911 emergency calling. We expect to announce the digital implementations during this year. Overall, 2022 saw us make meaningful progress executing against our strategic priorities and 2023 thus far has continued this promising trend. I look forward to sharing more with you later this year. And with that, let me turn it over to Ganesh to provide a deeper dive into our current initiatives, as well as operational and customer milestones. Ganesh?
Ganesh Pattabiraman: Thanks, Gary, and thanks, everyone for joining the call this afternoon. 2022 was a year of execution for us at NextNav. We made our Pinnacle solution available at scale and with the acquisition of NextNav France, we can make a resilient PNT solution available in more places at a significantly lower cost, and unleash the potential of our underlying Spectrum Asset. As Gary noted, the integration of NextNav France is progressing well. Since November, we have worked alongside Ambroise Popper to complete the integration of our engineering and operations team. With the integration behind us, we're now focused on the integration and implementation of the overall technology. By combining our TerraPoiNT technology with existing LTE and 5G cellular networks, we can create a highly accurate and highly synchronized resilient PNT network, utilizing TerraPoiNT transmitters only in locations with the greatest need. Based on our progress to date, we expect to have initial implementations of the combined technologies ready for internal testing in the second quarter. We expect those trials to run for several months with the full technology integration occurring by the end of the year. Additionally, as we noted, we expect the integration to enable us to drive to greater spectral efficiency from our underlying Spectrum Assets, allowing us to harmonize the TerraPoiNT system with LTE and 5G wave forms. As Gary noted, we just filed an experimental license earlier today. With these implementations, we believe we may be able to meet not only resilient PNT needs, but also support data carrying capabilities on our spectrum. As we indicated last fall, unleashing the full value of our spectrum is a strategic priority for us, and this technology integration moves us in the right direction. We expect to have more exciting news on this front in the near future. Regarding Pinnacle, we continue to establish customer relationship with some of the industry's leading players, including Prepared, Convey911 and Sonim Technologies to name a few. In January, we announced the integration of our Pinnacle technology into Sonim's XP3plus flip phone, which is now available to all Verizon and Verizon frontline customers. This is a significant milestone as Verizon is the first Tier One provider to launch with our Pinnacle service for 911 purposes. More importantly, we expect additional devices, including with other Tier One carriers to be enabled by our Pinnacle technology for E911 throughout the year. We're also beginning to see integration of Pinnacle’s z-axis capabilities in additional Public Safety application. In February, Radio IP, a leader in secure mobile communications announced that its utilizing NextNav's technology to empower its industrial-leading VPN solution with mission-critical z-axis location intelligence. As we move through 2023, we expect to see more of these implementations coming online. Shifting to the government side, we continue to believe that the federal procurement language modifications as outlined in Executive Order 13905 will be released in the coming months. We're continuing to have discussions with various departments and agencies on how best to advance resilient PNT. We held discussions with DHS and Nest as they're working towards characterizing PNT vulnerabilities. And we were pleased to see Next recognized PNT as a cyber security vulnerability in its latest revision to the PNT profile. This is important as it enables several of the cybersecurity funds in the infrastructure and Jobs Act, $1 trillion bill that was passed a year ago to be made available for PNT resilience. The DOT Congress and as Congress, as part of the 2023 Omnibus Appropriations bill awarded DOT with $15 million to implement recommendations for PNT resilience following the testing that they conducted in 2020. Interestingly, with the new Nest classification, cybersecurity is now a significant part of the conversations we're having with several state and local officials around how best to leverage state direct-to-infrastructure funding. We're now energized by these early stage discussions and we feel confident we'll make additional inroads later this year. Another area of momentum for us is our work in support of NASA. We recently expanded our relationship having been selected to deliver PNT services for its urban drone operation at the AMES Research Center in Mountain View, California. The agreement builds on an existing collaboration between NextNav and NASA in which the agency leverages the TerraPoiNT network to support its certain program at Langley Research Center in Virginia. Under our new relationship with NASA, NASA will be utilizing the TerraPoiNT network to conduct drone navigation, detection and collision avoidance in support of better understanding of PNT in GPS-denied environments. Initial tests in the Bay Area will leverage the TerraPoiNT network that we already have present in the region, allowing for beyond visual line of sight testing for drones operating outside the visible range of a pilot. We are thrilled to have developed such a strong relationship with NASA and look forward to identifying new opportunities to support their work in the future. On the global front, the European Union today published the results of the evaluation of the alternate PNT testing. The demonstrations tested technologies -- technologies from seven different companies on their ability to address vulnerabilities and service back up to GNSS. As part of the findings, JRC recognized NextNAV's TerraPoiNT solution as a mature solution that meets or exceeds all relevant benchmarks to serve as a resilient layer to the GNSS technology. You will recall tests by the U.S. Department of Transportation found TerraPoiNT to be the only commercial PNT alternative to meet identified needs in all applicable use cases. The JRC also recommends that spectrum be allocated for terrestrial PNT resilience within the EU. This is consistent with the actions the Japanese government is taking to provide Spectrum to NextNav's JV partner, MetCom. And similar to the DOT recommendations, the JRC report also recommends a system of systems approach to mitigate GNSS vulnerabilities. As European policy makers look ahead to the upcoming European radio navigation plan and develop their infrastructure priorities, we'll be encouraging them to use these findings as a load start to act quickly before facing the serious consequences of a GNSS outage. We're also speaking to many of these same officials about the advantage of our Pinnacle solution. Following the commercial launch of our Pinnacle technology in Japan, we are now feeling significant interest from additional countries. We recently hosted a delegation from a European country regarding possible upcoming trials. And as these conversations advance, we're hopeful that it will lead to additional trials in the coming months. Overall, we are thrilled with our progress in 2022 and excited by what lies ahead of us. We are working closely with governments and companies alike to make -- help make PNT resilience a reality. With that, let me turn things over to Chris for a review of the numbers. Chris?
Chris Gates: Thanks, Ganesh. Good afternoon, everyone. Now we'll go through our fourth quarter and full year 2022 results. Beginning with the top line revenue fiscal year 2022 was $3.9 million, including $803,000 in the fourth quarter compared to $763,000 and $20,000 in the full year and fourth quarter of 2021, respectively. The increase in both the quarter and year was driven by increased revenue from technology and services contracts with commercial customers. Operating expenses for 2022 were approximately $69 million, including $15.3 million in the fourth quarter, which included $934,000 in transaction related expenses for our acquisition of Nestwave. This compares to approximately $43 million in the prior year period and $14.2 million in the fourth quarter of 2021. Operating expenses in 2022 included $26.5 million of equity compensation expense and $3.7 million of depreciation and amortization compared to $1.7 million and $1.8 million, respectively in 2021. Operating expenses in fiscal year 2021 also included $9 million of warrant expenses associated with our AT&T site posting arrangement. Operating expenses in the quarter included -- for the quarter included $5.9 million in equity compensation expense and $1.0 million of depreciation and amortization compared to $641,000 and $713,000, respectively in the fourth quarter of 2021. Our full year net loss was $40.1 million including $12.5 million in the fourth quarter as compared to $144.7 million and $46.2 million in the full year and fourth quarter of 2021, respectively. Net loss for 2022 included a gain of $24.7 million related to the change in fair value of warrants. We continue to maintain substantial capital flexibility with $55.4 million in cash and cash equivalents and short-term investments on our balance sheet. Going forward, we continue to focus on managing costs and our balance sheet as new customers bring our products into revenue service. And as we noted on our third quarter earnings call, the Nestwave acquisition is expected to substantially reduce our future capital needs by decreasing the CapEx and network OpEx required for a broad TerraPoiNT deployment in the U.S., while facilitating our global expansion. And as Gary highlighted previously, allow us to significantly improve our Spectrum Assets. With that, I'll turn the call over to the operator for questions. Operator?
Operator: Thank you very much, Mr. Gates. [Operator Instructions] We'll take our first question this afternoon from Mr. Mike Crawford of B. Riley Securities.
Michael Crawford: Thank you. Given we're more than 90% of the way through the first quarter, what visibility do you have into revenue and cash usage in Q1?
Gary Parsons: Great question, Mike, and I think I can pick that up. Now as you know, we don't provide revenue guidance as we remain in the earlier stages of ramping our business. For 2023 as a whole, we hold some optimism for revenue growth, albeit with some lumpiness as Public Safety customers bring existing agreements into service. And we work towards potentially larger opportunities that may emerge from E911 and international government initiatives. We are focused on managing our use of cash as we work towards our major strategic objectives. And as we've said in the past, I think we may expect some modest amounts of increase in cash usage, but I actually think 2022 we spent $44 -- $44.4 million, I think in 2022, with kind of an average cash usage of approximately $11 million per quarter. And while we've been a little cautious about providing guidance, I wouldn't expect dramatic increases in our use of cash as we kind of work through the year.
Michael Crawford: Okay. Should we expect you to put some assets -- Spectrum Assets back debt on the balance sheet in the second quarter?
Gary Parsons: That is very good question. Because of our tight focus on managing expense growth and costs, and as I just indicated, we maintain a pretty strong balance sheet, which provides us with a decent amount of flexibility to navigate the market conditions we see right now. As we've said in the past, we do have a strong asset base, and we believe that will enable us to secure attractive financing at the right time. Our spectrum licenses constitute a pretty rare swath of high-value, low-band spectrum, obviously, bolstered by a large growing intellectual property portfolio supporting our PNT capabilities, which as we've discussed are growing in importance in the U.S. and as we heard from Ganesh regarding the recent JRC report internationally. In the event that we do raise capital, the core focus, of course is minimizing equity dilution and leveraging our asset base as we have in the past. So I think that's directionally how we would think about it.
Michael Crawford: Okay. If you don't mind, I'll just ask one more question about the business and one about spectrum, but would you say that most of the revenue you expect in 2023 relates to the Public Safety and E911 verticals?
Ganesh Pattabiraman: [Multiple Speakers] I can take that. Yeah. Hey, Mike. So I think, yeah, I mean, we're obviously looking at many different opportunities as things mature, but certainly E911 and Public Safety have the greatest momentum in the U.S. market for where we see a lot of desire for our capabilities and we will be pursuing them vigorously in the year. But we do see some international opportunities emerging and potentially some governmental-related opportunities also that may materialize. So I think certainly, some of those are certainly possible and in the realm of what we see potentially occurring in the year.
Michael Crawford: Okay. Thank you. And then final question is, given the capabilities you now have with what you've now named NextNav France. Just how much excess data capabilities do you have with 8 megahertz of low-band contiguous spectrum that you have that could potentially ride on LTE or 5G signal, if you got proper authorizations to do so, like, what amount of excess data carrying capability would you have, in addition to propagating the timing signal to enable terrestrial GPS like backup or alternative signal?
Ganesh Pattabiraman: Yes, I can take a stab at it, and Gary, you may want to add some color here. So I think, Mike, I would say that, I think the original paradigm where we had looked at spectrum as some portion of it being used for PNT resilience and another portion for maybe excess data carrying capacity I would say that's probably not the paradigm we are looking at as we have gotten a better understanding of the technologies and how we can synergize and leverage them for maximum -- to reach their maximum potential. I think our current view really is that it's not an either/or, it's a combination in the sense that, if we look at our full band of 8 megahertz within the band, you can certainly structure capabilities such that you can meet the PNT timing requirements with, may think of it similar to as what we may do with LTE signals where you're sending timing signals for a short burst of time, but then it's data carrying for the remainder portion. So there are configurations like that, that we are potentially evaluating. And I think that's where our experimental license will come into play. But the framework really is going to be to support both the requirements of PNT and data carrying across our entire spectrum in a coordinated fashion.
Michael Crawford: Okay. Thank you very much.
Gary Parsons: Sure.
Ganesh Pattabiraman: Thanks.
Operator: Thank you. We go next now to Timothy Horan at Oppenheimer.
Timothy Horan: Thanks, guys. So just following up on that, basically, you're saying that the timing wanted to feel with data transport basically do both at the same time, with timing use like 10% of the capacity or I know you're early stages on this would it, or any other color around that would be great? And then on the spectrum, what are you hoping from the Biden Administration here on their plans for broadband or sorry, for finding more wireless spectrum?
Ganesh Pattabiraman: Yeah. I can take a stab at the first one. And then I think -- so to answer your question there, Tim, we haven't finalized on that piece. I mean, I think, how -- what portion of our signal would be timing versus what portion data carrying, I think that's part of the work that we have planned for the year. And so -- but if you look at a good example is, in LTE, there's ability to send or in 5G an ability to send a PRS type waveform for 0 to 10, or 20 milliseconds, whatever the time period might be, those certainly are constructs that are available, but we will be experimenting further into that because I think our mandate is slightly different to -- and it is to deliver that high quality resilient PNT capability in addition to potentially unlocking the spectrum for data carrying capacity. So we don't have an exact framework yet. I think -- but those are the existing work that's been done in 3GPP would serve as good models for us to evaluate.
Timothy Horan: And then just on that point, so you probably wouldn't need any more approval from the FCC or a change in license to do ,what you're describing right now. You could probably just go ahead and do that?
Ganesh Pattabiraman: No. We’ve -- to make it sort of commercially available, we will need to get FCC approval, but we are experimenting right now. And as I mentioned earlier, we did file an experimental license to evaluate these configurations. But to get the final approval, we will have to go through an FCC process.
Timothy Horan: Okay. Got it. And then, what are you hoping from the broadband or spectrum plan wireless [indiscernible]?
Ganesh Pattabiraman: Gary, do you want to take that one? You may have lost Gary. I'm not sure. Can you hear us? Okay. I'll take a stab at it. I mean, I think as...
Gary Parsons: Yeah. No, I'm sorry, Ganesh, I'll definitely take that. I have my cellphone used up, unfortunately -- and if you remember back, the last one of these nationwide broadband plan was done, gosh, 2009, 2010 type time frame. And that laid out a lot of the spectrum activities that did occurred throughout the administration and at the FCC through multiple administrations. Once again, it's fortunately a very bipartisan effort. It always has been. So now, the growth of the need for broadband has just dramatically escalated. So you have a situation now where you've definitely got to find more broadband capability. Everybody knew that they would eventually get around to doing it. So it wasn't like it was unexpected, but it was pleasant to finally see that they are out formally going through a process to try to identify significant amount of repurposed spectrum because let's be candid. There isn't just a lot of spectrum sitting around unused. You have to shift it from other uses. And the one real value that we expect to come out of this thing is, is quite candidly, our spectrum and what we have already proven through the use over the last 10 years is, we're able to provide these positive governmental services, other things of that nature without interfering with government users or adjacent spectrum assets. So we're kind of the poster child of how you should be able to do it. And we believe now that as you're going about -- what will probably be a multiyear effort for them to identify a lot of spectrum. What you want to do is, you want to grab the low-hanging fruit first. So if ours is a capability that has proven it doesn't interfere, can use shared spectrum, and also provide broadband capabilities, which we believe will be able to show conclusively through our testing that is an easy low-hanging fruit to pick off for the government. So it's more of the fact that whether or not they were going about a very large program to identify additional spectrum for broadband repurposing. Even if that hadn't occurred, we knew that what we were doing would likely receive a positive view at the FCC because it is providing all of these PNT services and it also can carry broadband, which is desperately needed. So from that standpoint, it just leverages or greater continuity with what the government wanted to do going forward.
Timothy Horan: And Gary, just two other points on that. Can you talk a little bit about maybe what you think the highest and best uses for the spectrum? And then secondly, is just your -- do you think that's where the most value can be created now? I know there's a lot of moving parts in the business model is -- well, it sounds like you can both monetize the spectrum and the services at the same time. But what do you think the highest and best use would be for?
Gary Parsons: I think that clearly, from a -- if you just look at it from an economic standpoint, having 8 megahertz of low-band spectrum available for broadband carriage is massively valuable. I mean anybody that does any spectrum valuation understands that. The positive value that we see of going about it, the way we're intending to go about it, once again subject to the integration of the technologies working as we expect them to work and subject to the testing proving that we can do it. You don't lose all of that resilient PNT government contracts, E911, Public Safety, protecting critical infrastructure, all of those terms (ph) and market bases that exist, you're still capturing, but you're also able to capture the basic broadband capability of 8 megahertz low-band 5G signal.
Timothy Horan: Great. And do you think it's the primary way to create shareholder value at this point?
Gary Parsons: Well, is probably the quickest way, if you look at it because if the -- the revenues will grow over time, and you'll see the value as more and more countries move to this, more and more government action takes place to fund resilient PNT services and we bring on more 911 and other Pinnacle revenues, but those build over time. And obviously, clearly, if we're able to show that we can utilize this for what is a well-known immediate need for broadband capacity, then clearly, that is probably a nearer term value enhancer if you're able to do that, say, in the next year or something of that nature.
Timothy Horan: Great. And just maybe last for Chris or I'm not sure if you can answer it. Can you talk about the current business plan that you have, how much more funding you'll need to kind of get to free cash flow positive? Thanks.
Chris Gates: Yeah. I think -- this is Chris. I think again, that falls into the kind of the guidance category. And so again, it's something else that we've been hesitant to provide. I think I'd leave it at that for now.
Ganesh Pattabiraman: Yeah. And actually, just to address one question, Tim, you raised about sort of the value. I think in the European Union's report that came out just today there was a specific call out towards allocating spectrum for terrestrial PNT services. And so to Gary's point, the combination of capabilities that we provide or we believe we could provide would update carrying and PNT, I think could become the template as different countries look at PNT capabilities being...
Gary Parsons: Yeah. That's probably a pretty good point. I think in some of our prior calls, we've said, we've pointed to what the Japanese government is doing with the 5 megahertz allocated to our partner over there MetCom. And we've always said, and we expect other countries will look for similar approaches. But this is the first time now we've gotten very solid written formal evidence that the whole EU is looking at the need to have some established spectrum available for terrestrial PNT. And being candid, we're kind of the partner of choice for people who would want to deploy such a technology and make use of that spectrum. So whether we were trying to develop it ourselves, that hasn't been our pattern. We've tended to want to work with a cooperating carrier or a partner like we did in Japan. But certainly, seeing that very overt recommendation from the EU's report on a very important subject that heightens our view that, that could be a quicker process than normally what it takes to get spectrum allocations worldwide.
Timothy Horan: Thanks a lot guys.
Operator: Thank you. We go next now to Jamie Perez of RF Laporte.
Jaime Perez: Good day, everybody. My questions have been asked and answered. Thank you.
Gary Parsons: All right. Great, Jaime.
Operator: And Mr. Parsons, it appears we have no further questions this afternoon. I'd like to turn the conference back to you for any closing comments.
Gary Parsons: Great. Thanks very much, and thanks, everybody for joining us on the call. I think as we've said for a long time there, we expect there to be indications of forward progress that are sometimes announcements, sometimes acquisitions, sometimes a new customer and sometimes just something that's happening in the spectrum or telecom overall ecosystem that really encourages people to utilize our services or to look at them in a different perspective, and that's what we think we're now able to do with spectrum repurposing. I need to call it spectrum repurposing because we still intend to use our spectrum for resilient PNT, Public Safety, E911, all of the essential government services that the spectrum was originally licensed for. But if in fact, we are able to do that while also providing valuable LTE 5G carriage, we think that, that's a significant value enhancer for the company. And we think 2023 will be a watershed year for showing progress towards that very milestone objective. With that, thank you very much, and we look forward to speaking to you again on our first quarter call.
Operator: Thank you, Mr. Parsons. Again ladies and gentlemen, that does conclude NextNav’s fourth quarter 2022 earnings conference call. Again, I'd like to thank you all so much for joining us and wish you all a great remainder of your day. Goodbye.